Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Infinity Pharmaceuticals Corporate Update and Full Year 2019 Financial Results Conference Call. My name is Daniel and I will be your operator for today's call.At this time, all participants are in a listen-only mode. There will be a question-and-answer session to follow. Please be advised that this call is being recorded at Infinity's request.Now, I would like to introduce your host for today's call, Jayne Kauffman, Senior Executive Coordinator and Infinity Pharmaceuticals. Please go ahead.
Jayne Kauffman: Thank you Daniel and good afternoon, everyone. Welcome to today's call. We are pleased to discuss our recent significant business progress, review our full year 2019 financial results and provide our key milestones for 2020. With me here today are Adelene Perkins, Chief Executive Officer; Larry Bloch, President; and Dr. Jeff Kutok, our Chief Scientific Officer.We will open up the call for Q&A following our remarks. The press release issued this afternoon details our results and are available on our website at infi.com. Please note that during this call, we may make forward-looking statements about our future expectations and plans, including clinical development objectives, the therapeutic potential of our product candidates, our strategic plans and strategies, and financial projections.Our actual results may differ materially from what we project today due to a number of important factors, including the considerations described in the Risk Factors section of our Annual Report on Form 10-K for the full year of 2019 and in other filings we make with the SEC. These forward-looking statements represent our views only as of today, and we caution you that we may not update them in the future, whether as a result of new information, future events or otherwise.Now, I would like to turn the call over to Adelene.
Adelene Perkins: Thank you, Jayne and thank you to everyone for joining us. This is an exciting time for Infinity Pharmaceuticals. Today we look forward to providing an overview of our recent corporate highlights, upcoming IPI-549 clinical milestones and financial guidance for 2020.The most important thing for you to know is that we have five significant IPI-549 clinical study readouts that are expected this year through mid 2021. These data readouts all fall within our current cash runway creating significant near term value creation potential for our shareholders.Our ability to generate data with IPI-549 in over 500 patients across five studies all of which are now enrolling was enabled by our announcement earlier this year of a non-dilutive $20 million financing with Biotech Value Fund or BVF, a top-tier investor and also our largest shareholder. This financing moves backed by potential royalty payments due on future sales of patidegib, a hedgehog in pathway inhibitor discovered by Infinity and licensed to PellePharm in 2013. With this latest financing, we have accessed over $90 million of completely non-diluted capital and contributions in-kind over the past 18 months alone reflecting our commitment to access the capital necessary to fund the advancement of IPI-549 for patients with the dilution sensitivity necessary to create value for shareholders.Our upcoming clinical data readout are significant given that IPI-549 is a first in-class oral immuno-oncology product candidate targeting immune suppressive macrophages and myeloid derived suppressor cells or MDSCs through selective PI3 kinase gamma inhibition and is the only PI3 kinase gamma specific inhibitor in clinical development.M2 macrophages and MDSCs their circulating equivalents which we will refer to interchangeably in today's call generate a pro tumor immune suppressive tumor micro-environment contributing to tumor regrowth and inhibiting anti-tumor T-cell activity.Research at Infinity and elsewhere shows that the presence of these immune suppressive MDSCs and M2 macrophages may be a key reason that only a small percentage of patient’s benefit from checkpoint inhibitors and that most patients who respond initially to checkpoint inhibitors ultimately relapse, IPI-549 is designed to provide a solution to the problem of tumor immune suppression by reprogramming MDSCs and M2 macrophages from a pro tumor immune suppressive function to an immune stimulatory anti-tumor function characteristic of M1 macrophages.MARIO-1 our phase one study has generated clinical and translational evidence of this decreased immune suppression and increased immune activation with IPI-549 both as a mono therapy and in combination with checkpoint inhibitor therapy. These initial data have laid the foundation for and informed our ongoing clinical development.IPI-549 has also demonstrated an excellent safety and tolerability profile again as both a mono therapy and in combination with a checkpoint inhibitor enabling a robust clinical development plan with a number of innovative combination therapies in several tumor types intended to improve upon emerging standards with care as well as approved front and second line regimens.These compelling mechanistic safety and activity data have enabled us to attract top tier partners for the development of IPI-549 resulting in collaborations with Bristol-Myers Squibb, Roche/Genentech and Arcus Biosciences. These partnerships are truly collaborative enabling us to benefit from the expertise and insight of world-renowned leaders in oncology and are invaluable for the successful development of IPI-549.Our collaboration with BMS leverages important data from their CheckMate 275 study which resulted in the approval of Opdivo as a mono therapy in bladder cancer patients following progression on a frontline platinum-based chemotherapy. Translational analyses from the CheckMate 275 study led by Dr. Pam Sharma at MD Anderson demonstrate that with Opdivo mono therapy there's a stunning correlation between patients with the highest baseline levels of MDSCs and poorer outcomes including a significant six-fold reduction and overall survival compared to patients with low baseline levels of MDSCs.These findings support the premise that MDSCs are immune suppressive contribute to tumor regrowth following chemotherapy and limit the effectiveness of checkpoint inhibitors thus minimizing the patient population that may benefit from these immune-oncology therapies.The CheckMate 275 findings came at a very interesting and important time as in parallel Infinity generated data in our MARIO phase 1 study showing a rapid and dramatic reduction in MDSCs following treatment with IPI-549. These complimentary findings in identifying both a problem and its potential solutions served as the inspiration for MARIO-275 and accelerated our path forward in combination with Opdivo in patients with urothelial cancer.MARIO-275 is the company's ongoing global randomized controlled phase 2 study in immune therapy naive second line urothelial or bladder cancer patients in collaboration with Bristol-Myers Squibb. Working closer to CMS, our trial was designed with tremendous fidelity to the design of CheckMate 275 with the primary difference being the addition of IPI-549 to Opdivo with the goal of improving patient outcome. In MARIO-275 patients are stratified based on starting MDSC level and then are randomized 2 to 1 to either the IPI-549 plus Opdivo or Opdivo plus placebo arm regardless of PDL-1 status.The primary end point of the study is overall response rate with equally important secondary endpoints of patient benefit in median progression-free survival, overall survival and duration of response which are particularly important given the correlation of high MDSC levels with poor time to event outcomes most notably significantly shorter overall survival shown in BMS is CheckMate 275 study.We plan to enroll 160 patients at approximately 50 sites in both the U.S. and Europe and anticipate completion of enrollment by the end of this year followed by data in mid 2021, approximately six months after the completion of enrollment.We are also excited about our novel combination studies with IPI-549 in front-line cancer patients in a phase two study called MARIO-3. MARIO-3 is a 90 patient study being conducted in collaboration with Roche/Genentech with a cohort of 30 patients with renal cell cancer or RCC and 60 patients with triple negative breast cancer or TNBC all of whom we expect to roll this year with initial data also expected later this year.These studies are evaluating IPI-549 in novels triple combinations and are our first applications of IPI-549 in front-line setting.Importantly, these RCC and TNBC cohorts were designed with great fidelity to the inclusion, exclusion and other key 12 characteristics utilized by Roche/Genentech and their evaluation of double combination therapy in each indication such that we will have a benchmark against which to evaluate the benefit of adding IPI-549 to previously evaluated Roche/Genentech regimen.In front-line RCC Roche tested Tecentriq and Avastin in a study called emotion 151. In frontline TNBC Roche received accelerated approval for the combination of Abraxane and Tecentriq in a study called Impassion130.In both our RCC and TNBC cohort half of the patients and rolls will have high levels of PDL-1 expression and the other half will have low levels of PDL-1 expressions where the checkpoint inhibitors have shown little activity. The primary endpoint for all MARIO-3 cohorts is complete response rates to improve upon the benchmarks of a complete response rate of 10% or less seeing with Roche and Genentech double.We are also collaborating with Arcus Biosciences with a checkpoint inhibitor free novel triple combination regimen of IPI-549 with AB928 Arcus's dual adenosine receptor antagonist and a chemotherapy Doxil in second line or greater advanced TNBC patients.This study is being conducted by Arcus who completed the dose escalation phase of the study in 2019 and are now enrolling up to 40 TNBC patients in an expansion cohort. This phase 1/1bB study is adding IPI-549 to a parallel study underway by Arcus evaluating the doublet of a AB928 with Doxil in the same patient population of second line or greater TNBC patients.The primary objective is safety and tolerability of IPI-549 and AB928 in combination with Doxil. Secondary objectives include overall response rates to these control rates, progression-free survival and pharmacokinetics and pharmacodynamics will also be monitored. Jeff will describe the scientific rationale for all of these studies in more detail.Finally we completed enrollment in our MARIO-1 study evaluating IPI-549 is a mono therapy and in combination with Opdivo in patients with advanced solid tumors at the end of 2019. Data from this clinical study have played a critically important role in substantiating our mechanistic and preclinical findings on the role of PI3K-gamma inhibition with IPI-549 in reducing the number of MDSCs thereby reducing immune suppression with a corresponding activation of an immune response. We will provide an update on this data which provided the foundation for our phase 2 studies now underway later this year.Next, a few word on our partnership. We are delighted to have strong clinical collaborations with Bristol-Mayer Squibb, Roche and Genetech and Arcus Biosciences all of whom are global leaders in developing innovative cancer treatments. So we have chosen to retain worldwide development and commercial rights to IPI-549 in advance of phase 2 data collaborations are critically important to us as partners bring tremendous insights on unmet patient needs from their previous studies and on specific areas for improvement with future treatment regimens. Our partners also provide meaningful financial support for our trials through contributions of combination therapies free of charge.In turn, our partners look to leverage Infinity Scientific insights on the role of IPI-549 in reprogramming maphages and modulating MDSCs to overcome resistance to checkpoint inhibitors, as well as Infinity medical insights based on our political experience in treating patients with IPI-549 who are no longer responsive to checkpoint inhibitor therapy.Our phenomenal clinical team led by our VP of clinical development Dr. Hale Zing and our VP of clinical operations Jennifer Roberts are supported by the 70 plus clinical investigator on our trials and an expanded network of clinical advisors and collaborators some of whom have recently joined our exceptional clinical advisory board.We are pleased to announce today the additions of Dr. Pam Sharma co-leader of the MD Anderson Cancer Centers Immunotherapy platform and the principal investigator on the BMS CheckMate 275 study that first demonstrated the association of high MDSCs to lower overall survival in patients with urothelial cancer and which provided the inspiration for our MARIO-275 study for which her unique insights will be invaluable.We are also pleased that Dr. Toni Choueiri, the Director of the Lank Center for Genitourinary Oncology at Dana-Farber Cancer Institute has also joined our clinical advisory board. Dr. Choueiri is a recognize thought leader in the GU field who has done extensive work in the development of better treatments for patients with RCC and will bring his unique insights to the interpretation of our data from MARIO-3 and RCC and the development of next step. Dr. Michael Postow has also joined our clinical advisory board.He co-leads the melanoma disease management team at Memorial Sloan Kettering Cancer Center and was the principal investigator of a clinical trial which led to FDA approval of the nivolumab + ipilimumab combination to treat melanoma and will bring tremendous insights to the identification of potential future paths for IPI-549 in melanoma.And finally our clinical advisory board is chaired by Dr. Sam Agresta Infinity board member and Chief Medical Officer of Foghorn Therapeutics. Dr. Agresta played a key role in the approval of several important drugs including TIBSOVO® and IDHIFA® [indiscernible] and KADCYLA® which is approved for breast cancer while at Genentech. Dr. Agresta also played a key role in designing and Infinity trials now underway and is actively engaged with the company and advancing these trials.With our great clinical team, investigators and advisors 2020 is a very important year for the clinical of development of IPI-549 and for the company. We're totally focused on completing enrollment in MARIO-275 and MARIO-3 this year and on generating data from all five of our study cohorts which will be in a total of over 500 patients between now and mid 2021.Before turning the call over to Dr. Jeff Kutok, our Chief Scientific Officer I'd like to highlight the announcement we made today that with the advancement of IPI-549 into phase two developments Jeff's has officially passed the baton on development of IPI-549 to our clinical team. With his baton passing Jeff will be leaving infinity at the end of March to focus his considerable research talents on leading drug discovery at another life science company and will assume the role of chair of Infinity's scientific advisory board.In this new capacity working with internal and external scientists Jeff will continue to play a critically important role in interpreting new scientific insights on PI3 kinase gamma specific inhibition and in helping to guide potential future development paths for IPI-549.Jeff played an instrumental role in the discovery of IPI-549 and in its transition into a robust clinical development program and we are forever grateful for the enormous contributions he's made in bringing IPI-549 to this point and for his ongoing commitment to the program into Infinity.It is with profound appreciation and I now turn the call over to Jeff to review the strength of the scientific rationale underlying each of our clinical studies now underway.
Jeff Kutok: Thank You Adelene. I'll certainly miss the daily interactions with you and all my colleagues in Infinity and despite my upcoming transition, I remain incredibly excited and enthusiastic about the path that IPI-549 is on and the strong scientific rationale that underlies the design of our studies which I'll now review.As you just mentioned our MARIO-1 data has provided important proof of mechanism supporting the potential of IPI-549 to decrease immune suppression and increase in activation after treatment with demonstrated clinical activity and patients. We're particularly excited to see activity with the combination of IPI-549 and Opdivo in patients that would not be expected to respond to Opdivo mono therapy. These data made an important foundation for our ongoing clinical programs in the future directions which I'd like to highlight.I'm going to summarize the scientific premise behind MARIO-275 our global randomized controlled phase two clinical trial Opdivo plus 549 in urothelial cancer patients. So I'd like to take the step back and touch on the breadth of the impact that immune suppressive MDSCs and M2 macrophages have across a number of different tumor types. Broadly speaking MDSCs and M2 macrophages are rapidly being appreciated as a key mechanism by which tumors create a protective micro environment and defend against immune attack.Distinct from targeted therapies directed to genetic mutations that drive the growth and survival of specific tumors that harbor those mutations, the macrophages and MDSCs that infiltrate nearly all tumors are fundamental biological mechanism of immune suppression that is relevant across most if not all those tumor types.We have extensive preclinical mechanistic studies that support the key role of PI3 kinase gamma signaling in the immune suppressive function of these macrophages and MDSCs and also clinical and translational data to show that selective inhibition of PI3 kinase gamma by IPI-549 can overcome their suppressive effects and lead to immune activation in tumors.The mechanism of action of IPI-549 can therefore potentially synergize with many other therapies that need to target other aspects of immune suppression tumors like checkpoint inhibitors or adenosine pathway or with chemotherapy like Doxil and Abraxane or targeted therapies like Avastin all of which we are currently pursuing in clinical studies. There are additional preclinical and scientific rationale for combining with IPI-549 with other therapies and we look forward to pursuing these in the future.With respect to our existing studies and the data that BMS generated in CheckMate 275 reinforcing the association of high levels of MDSCs with poor outcomes in bladder cancer, provided the foundation of our MARIO-275 trial has been seen in many other settings and tumor types. Their extensive publications on the correlation of high MDSCs with poor prognosis melanoma had neck, lung and other cancer types. As such our MARIO-275 study serves as an important test of the potential value on reducing MDSCs which could be much more broadly relevant across many tumor types and settings. This approach may be representative of the next wave of cancer therapies which are not tied to tumor histology but rather to fundamental biological processes along the line for the recent approval for checkpoint inhibitors based on high levels of microsatellite instability regardless of tumor type.Against this backdrop, I'd like to describe how the fundamental role of MDSCs drive the underlying biologic rationale of each of our trials beyond MARIO-275.Let's start with MARIO-3 our phase 2 study being conducted in collaboration with Roche and Genentech. Study has different cohort two different cohorts frontline renal cell carcinoma with IPI-549 in combination with Tecentriq and Avastin and front line triple negative breast cancer with IPI-549 in combination with Tecentriq and Abraxane.In renal cell carcinoma is a strong scientific and biologic rationale for combining Avastin to Tecentriq and IPI-549. Anti-angiogenics combined with checkpoint inhibitors have provided recent meaningful advances in the treatment of renal cell carcinoma. The anti-angiogenic or VEGF inhibitors regardless of whether there are antibodies or tyrosine kinase inhibitors lead to damage in blood vessels and reduce blood flow to the tumors by design.In addition the tumors utilize checkpoints to suppress an immune response such that adding a checkpoint inhibitor like to Tecentriq augments the anti tumor T-cell response to provide additional patient benefit, but importantly an additional effect of this treatment regimen particularly the vascular disrupting agents is the creation of tissue hypoxia or lack of oxygen leading to the recruitment of macrophages. These macrophages contribute to both vascular and tumor regrowth as well as suppression of anti tumor responses of the T-cells.Given the role of IPI-549 in reducing MDSCs or in programming immune suppressive M2 macrophages the addition of IPI-549 to the anti-angiogenic and a checkpoint inhibitor like Tecentriq shuts down multiple mechanisms that lead to tumor resistance to these agents.Study with Roche/Genentech and triple negative breast cancer also has a similar hypothesis based on a trial where Roche/Genentech did combining Abraxane and Tecentriq in frontline TNBC patients. Abraxane leads to tumor cell death and Tecentriq augments anti tumor T-cell response reducing immune suppression. Based on the IMpassion 130 trial most received the first-ever approval of a checkpoint inhibitor and triple negative breast cancer with accelerated approval but only in patients with high levels of PDL-2 expression. While this approval is very encouraging it's clear there is room for improvement which is where the addition of IPI-549 comes in.We hope to show benefit for both the PD-1 positive and negative subgroups with the addition of IPI-549 to Abraxane and Tecentriq given the fact that chemotherapy like Abraxane can recruit additional macrophages and MDSCs to tumors that will contribute to tumor regrowth and further immune suppression. We're very enthusiastic about these phase 2 studies with IPI-549 moving to a front-line combination therapy with real potential to improve upon regimens in renal cell carcinoma and triple negative breast cancer.Now let's turn to the Arcus Bioscience collaboration. As opposed to MARIO-3, the Arcus trial is a phase 2-B study as a second line and later therapy in triple negative breast cancer. Triple combination includes IPI-549, with Ab928 a dual adenosine receptor antagonist and Doxil at chemotherapeutic. There's a strong scientific rationale that should sound familiar at this point using Doxil the chemotherapy to induce tumor cell death. The tumor cell death results in an accumulation of immune suppressive adenosine which is the target of our Arcus's dual adenosine receptor antagonist AB928 but just as any other mechanisms we reviewed this tumor cell death also leads to recruitment of pro tumor macrophages which suppress T-cell responses. So adding IPI-549 to this combination provides a complementary mechanism for helping to stimulate an immune response.Importantly, the combination with Arcus is a checkpoint inhibitor free regimen given the importance of the suppressive effects of macrophages and MDSCs in most tumor settings and lines of therapy this will enable us to evaluate the potential of IPI-549 as a treatment backbone across several lines of therapy and distinct combinations.This will be particularly interesting to evaluate in triple negative breast cancer given that we have TNBC trials now underway with IPI-549 in the frontline with MARIO-3 in the second line with Arcus and then the third plus line with BMS.There are two key aspects to the design of all of our trials now underway. We're adding IPI-549 to regimens that provide a clear benchmark upon which we can compare its activity and we're exploring IPI-549 and settings where the immune suppressive pro-tumor macrophages and MDSCs are an important mechanism of resistance to these regimens.Finally I want to recognize the outstanding work of our clinical collaboration partners at BMS, Roche/Genentech and Arcus as we continue to make great strides in advancing IPI-549 combination clinical programs. I also want to take this opportunity to thank all of my colleagues in Infinity for their years of support, camaraderie and professionalism. I look forward to remaining involved in the IPI-549 program as Chair of Infinity Scientific Advisory Board.I'll now turn the call over to our president Larry Bloch.
Lawrence Bloch: Thank you Jeff. I'll sincerely miss working with you on a daily basis as part of an Infinity executive team. I am really gratified that we will continue to collaborate together on development of IPI-549 in your new role as chair of our Scientific Advisory Board.Turning to our strategic outlook we have maintained worldwide rights for IPI-549 with a total net sales royalty burden of only up to 4%. On January 8, 2020 we completed the $20 million non-diluted asset back financing with Biotech Value Fund partners with full recourse and potential royalty payments due on future sales a patidegib, a hedgehog pathway inhibitor discovered by Infinity and licensed at PellePharm in 2013.The Infinity is also eligible receive from BVF an additional $5 million payment upon positive data from PellePharm phase 3 trial in patients with Gorlin syndrome which completed enrollment in November 2019.Even before this potential milestone payment, we have a cash runway to fund over ongoing IPI-549 clinical studies two key data readouts expected by mid 2021.As December 31, 2019 we had total cash, cash equivalents in available for sale securities of $42.4 million compared to $58.6 million in December 31, 2018 and then subsequent to our biotech value fund financing at January 8, 2020, we had a cash balance of approximately $62 million.Revenue for the full year 2019 was $3 million compared to $22.1 million for the full year 2018. Our R&D expense for the full year 2019 was $27.1 million compared to $19.8 million for the full year 2018 and this increase in R&D expense was primarily due to an increase in clinical and development activities for IPI-549.Turning to general and administrative expense for the full year 2019, this was $14.3 million compared to $14.2 million for the full year in 2018. A net loss for the full year 2019 was $47.1 million or basic and diluted loss per common share of $0.83 compared to net loss of $11.3 million or basic and diluted loss per common share of $0.20 for full year 2018. This increasing of net loss was mostly driven by two factors; the $22 million milestone payment received from Verastem in 2018 for the approval of COPIKTRA® and $7.3 million royalty expense to Takeda in 2019 for their share of the COPIKTRA® royalty monetization with HealthCare Royalty Partners in the first quarter of 2019.Now looking forward, our previously announced financial guidance as of January 30, 2020 remains unchanged. We expect 2020 net loss to range between $40 million to $50 million and end 2020 with the cash investment balanced in the range of $15 million to $25 million.We anticipate that our existing cash, cash equivalents and available sales securities will be adequate to satisfy the company's capital needs into the second half of 2021.Our 2020 financial guidance is based upon the company's current operating plans and does not include additional financing or biz development activities or the potential $5 million milestone payment from biotech value fund for positive phase three [indiscernible] data and any milestones from or the sale of the company's equity interest in PellePharm.At this time we took the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Andrew D'silva with B. Riley FBR. Your line is now open.
Andrew D'silva: Hey good afternoon thanks for taking my questions and congrats on all the progress over the last 12 months. Just a few quick questions for me. One modeling one out of the gate as far as the BVF financing goes, is that going to be accounted for in the same way as HCR Verastem royalty stream or will that be recognized as an asset sale? I didn't see a cap amount or reversion carve-out. So it just looked more like an asset sale to me.
Lawrence Bloch: Yes. It's a great question. So because of the subsequent event we're actually working through the accounting with and why, and so we'll have that reflected in the first quarter queue in May but it is although they may look analogous there's definitely some of the sort of financial components of it that still need to be analyzed to make a final determination.
Andrew D'silva: Okay. Great and then as a relation probably to the competitive landscape actually more specifically PI3-gamma, has there been any updates on AstraZeneca’s candidate and have any other development programs emerged as well?
Adelene Perkins: So thanks Andrew. I'm not aware and we're not aware of any updates on these programs. They did do an update at a CR last year and they had data in preclinical models that looked somewhat similar to our program. The only discernible difference was for their preclinical studies they were dosing twice a day and we were once a day oral drugs there's no evidence of any pi3 kinase gamma specific inhibitor in clinical development. So we believe that we remain the only pi3 kinase gamma specific inhibitor in clinical development.
Andrew D'silva: Okay. That's good to hear. And a good segue to my last question, I guess really two parts to it there has clearly been just an increase in programs targeting macrophages lately. I'm just curious if your enrollment rate to date is keeping up with what you were expecting when you originally gave guidance in January or if some trials are trending behind or ahead of what you would have initially thought and then when you step back and look at the broader backdrops I'd love to get your thoughts on how you see 549 or Infinity just fitting into the broader landscape with everything that's evolving lately?
Adelene Perkins: Sure. So it's two months into the year. So it's early but we remain really pleased with the status of the trial enrollment and the site initiation. We just came back from the GU ASCO meeting in San Francisco in mid-February and it was just a lot of enthusiasm from our investigators. So I would highlight with our MARIO-275 study with the 500 sites the majority of those are outside the US and so there's a really compelling rationale for patients to enroll in that study because they will either be receiving the standard of care of Opdivo plus placebo or the standard of care plus IPI-549 and in some of the sites that we're studying the Opdivo is not available to those patients as a second line therapy. So we've seen great enthusiasm for investigators and our enrollment is off to a good start. I'll remind you in our MARIO-3 study we're going into the front line where we're adding again when you look at MARIO-3 and triple negative breast cancer the Abraxane plus Tecentriq is an approved regimen and we're all thrilled with that but it has some shortcomings in that it is not approved in patients with low levels of PDL-1 expression and the complete response rate is low.So we find as we talk with our investigators they're keenly aware of the need for better therapies and the fact that IPI-549 is so well tolerated enables us to go into those triple therapy. So far so good and with the broader treatment landscape in addition to the fact that we are only Pi3 kinase gamma specific inhibitor in development we're not aware of well as Jeff mentioned there's a lot of excitement about MDSCs in the macrophage compartment there are no other drugs that we're aware of that reduce the MDSCs or particularly reprograms the M2 macrophages to M1 which there's any phase 2 data to evaluate. So there's a lot of excitement. It's still relatively early days and so we'll be monitoring and looking carefully at those from both our mechanism and preclinical date and where we are in clinics we believe 549 still has the potential be quite differentiated from other approaches.
Andrew D'silva: Okay. Thank you. That was really good color. Thank you very much and congrats on all the progress and best of luck in 2020.
Adelene Perkins: Thanks Andrew.
Operator: Thank you. Our next question comes from Kevin DeGeeter with Oppenheimer. Your line is now open.
Kevin DeGeeter: Hey great. Thanks for taking my questions guys. As we think about I guess two primary clinical data readouts in 2020 MARIO-1 and MARIO-3, is it reasonable to assume that we'll get the MARIO-1 data that a final update earlier in the year than MARIO-3 relatively later in the year?
Adelene Perkins: I would expect both of them to be later in the year Kevin because we completed enrollment in our MARIO-1 study at the end of 2019. So we have patients who are still waiting to get data from their first scan. So we will be collecting both the clinical and translational data on those patients during the year. We also have to date presented just at major medical meetings and so will most likely just given that we don't even have first scans on some of those patients be looking towards the second half of the year with abstracts submission deadlines that there's a long lead-time. So that's the story with MARIO-1. With MARIO-3 totally the same thing. We're in the early days of enrolling patients so by the time we have a couple of scans and data on those patients we will have a more robust set of safety data by the end of the year but the activity data will still be early and it will be later in the year.
Kevin DeGeeter: Maybe a financial question for Larry and I have a follow-up. With regard to the cash burden guidance reasonably why Delta there can you sort of walk us through what some of the puts and takes kind of in that $10 million potential swing on burn might include?
Lawrence Bloch: Yes. So as Adelene said it's still early days on in terms of our enrollment and most of our expenses are driven by our clinical expenses, our G&A expenses are relatively constant from year as you can tell them are 10-K and so we basically want to give a $10 million range because we can't get much more precision than that in a 12 month period of time and it'll be driven by the cadence of our clinical trials.
Kevin DeGeeter: And kind of following up on that I mean with regard to some of the COVID 19 related travel restrictions and other variables. How do you think about the visibility you have on pace of enrollment I guess specifically with regard to MARIO-275 given configuration where most of those sites are.
Adelene Perkins: Yes, Kevin it's a great point. We're monitoring it carefully. I think we and the rest of the world are trying to figure out exactly where this is going to go. So I can't say we have any better crystal ball than anyone else. We don't have any issues. I know there's been discussion about drug supply coming from China. We're not, we don't have any concerns it really will depend for us because we do have several sites in Europe what happens with COVID throughout Europe and what it does to travel. So it's really too early to tell and we're watching the same news as you are to try to keep a good sense for where that's likely to go.
Kevin DeGeeter: Alright. Thanks for taking my questions and yes congrats on the progress.
Adelene Perkins: Thanks Kevin.
Operator: Thank you. Our next question comes from Anupam Rama with J.P. Morgan. Your line is open.
Anupam Rama: Hi guys thanks so much for taking the question. I have a broader strategic question. So over the last year or so there's been some transitions from the medical scientific management team to sort of more advisory roles but we kind of multiple important data sets coming here in 2020 and 2021 are you thinking about the scope and sort of the broader management team overall? Thanks so much.
Adelene Perkins: Sure and thanks Anupam. So as I mentioned you know we've got a terrific team. We're very focused on the clinic right now and on the clinical data. So we've got senior leaders of both clinical development and clinical operations and as well as in the translational analysis arena. So we've got a team that's like firing on all cylinders to execute. They're supported by our great investigators and then the clinical advisory board that we put in place which was very much by design these are people who have really unique insights on our trial. So Dr. Sharma ran the chair CheckMate the study we couldn't have a better advisor as our data comes in to really roll up her sleeves and help us interpret that and determine next steps. The same thing with Toni Choueiri he's really a thought leader in renal cell. Dr. Agresta has done a lot of work in breast cancer, in MARIO-1 we're studying melanoma patients and Dr. Michael Postow we've got truly world-class thought leaders. So we feel like we've got what we need to deliver on the data that we're really excited in the next fifteen months we're going to have a lot of data.
Anupam Rama: Alright. Thanks for taking our question.
Adelene Perkins: Sure.
Operator: Thank you. Our next question comes from Soumit Roy with JonesTrading. Your line is now open.
Soumit Roy: Hello everyone and thank you for taking the question and congrats on staying on track on multiple funds. To get a little granularity on the data what kind of data we're going to see at the end of this year possibly fourth quarter on both the MARIO-3 and MARIO-1 starting with MARIO-3 maybe the TNBC cohort should we expect out of the 60 patient should we expect at least 30 patient data set and what are we going to see? Are we going to see the standard of response rate possibly bfours and of cycle -- beyond cycle 2 like cycle 2, 3, 4 how the MDSC levels are panning out? Just to get some kind of sense of how much granular data are we going to see?
Adelene Perkins: Yes. So clearly the data that will read out sooner it kind of goes as you know in sequential the first thing we'll see is safety. The next thing that we'll see is response rates our primary endpoint in CR rates. So those will be the first things. It'll be unlikely that we'll see time to event readouts of PFS or overall survival just given that we're enrolling those patients now. So we wouldn't expect to have the time to event endpoint exactly how many patients will have it on depends on the cadence of enrollment. As we said we know we are two months into the year where we've got a lot of excitement and got lots and lots of sites initiations underway and sites that are up already. So we'll as we get closer to abstract deadlines when we know how many patients we both have enrolled and how many patients we'll be reporting on we'll be able to update that but we do expect to have data later this year that will be most likely at safety and activity measured by response rate.
Soumit Roy: Thanks. Maybe this is a question for Jeff and I'm kind of blanking out this thing when you, have you looked into like a preclinical model where MDSC knockouts like it's [indiscernible] models. Do you see if [indiscernible] do you see them surviving more or less the same as even competent mice or better to get any sense how this might translate?
Jeff Kutok: So Soumit is your question war around safety in MDSC?
Soumit Roy: No, efficacy in fact like how much really MDSC is contributing in [CMBS] setting we have a fairly good understanding in the bladder cancer from the CheckMate 275.
Jeff Kutok: Right. I'm trying to think of the other than our own data showing IPI-549 effect on those cells and though decreased tumor growth and indexed decreased delay in tumor growth in those models. I I'm trying to sit here and think of I can't really come up with off the top of my head a model that specifically targeted the MDSCs in a genetic way that could answer your question unfortunately.
Soumit Roy: Got it. We can circle back on that. And --
Jeff Kutok: That's a good question.
Soumit Roy: Yes. Lastly, just a thought -- I mean you guys are kind of pushing forward on combining with the standard of care and do you have any thoughts on once you are, you're trying to target the MDSCs but then there are other factors that are playing a pivotal role in the tumor microenvironment like this M2 macrophages send agents to convert it back to M1 or maybe [t] agents to block TRAC accumulation. Have you done any kind of those combination at least in the preclinical setting to see if they are a better combination than just combining the standard of care IO combos.
Jeff Kutok: So just to be clear, our IPI-549 does both target at the MDSCs and blocks there, their migration as well as converting these immune suppressive cells to more pro-inflammatory cell types. So 549 will do both of those serve both of those functions. We've looked at a variety of different models that target a number of different pathways specifically T-regs I think there are fewer models that are specifically targeting T-regs but we looked pretty extensively and published most of the data targeting other mechanisms of immune suppression, our cases published presentative meetings on the combination of an adenosine antagonists in 549 and those are data that have largely been published that we've done.
Soumit Roy: Okay. Thank you so much for taking the question and Jeff wish you the best on your future endeavors, hope to see you soon.
Jeff Kutok: Thank you.
Operator: Thank you. Our next question comes from Jim Birchenough with Wells Fargo. Your line is now open.
Unidentified Analyst: Good afternoon. It's a Nick Abbott for Jim this afternoon and first off thank you to Jeff for putting over the years often annoying questions from our groups. Maybe just starting with MARIO-1, so the cohorts have now been fully enrolled. Can I just confirm that where we should expect the data on 10 patients each during the course call, 20 non-small-cell lung squamous head and neck, MDSC high 29 triple negative breast immense 40 and melanoma.
Adelene Perkins: Yes Nick I think our guidance that we've provided for the last year's really remains intact that we will be presenting the data that support trials that we're going forward with while the data is yet still evolving. We will of course present on all of the patients at some point when we completed all the translational analyses but our current focus will be on those cohorts for which we want to pursue a path forward while we don't have any other there are no other pi3 kinase gamma specific inhibitors in development today. We know that there are some that will be coming behind and so we'd like to keep any insights that we have confidential as long as we can until we see a path forward and that will be clear that we're announcing a new trial and going forward with them.
Nick Abbott: Okay. So just to be clear then focus is on really the TNBC patients?
Adelene Perkins: Yes. I think you can look at all the hypotheses that we have in our studies today that we're going forward with. The facts that we've already presented some of this that we see reductions in MDSCs that are the cornerstone for the MARIO-275 study and then anything else that either supports our existing studies or to the extent that we are launching a new study.
Nick Abbott: Okay. And that's to be announced the new studies obviously.
Adelene Perkins: Correct.
Nick Abbott: And then I noticed on the new clinical advisory cohort there is no TNBC expert. Why is that?
Adelene Perkins: Well, Sam has played a key role at Genentech on the KADCYLA approval and so while it was in HER2 positive breast cancer, he’s done a considerable work in the breast cancer space.
Nick Abbott: Okay.
Adelene Perkins: But it doesn't suggest that we will limit it to that. This is the first establishment of a clinical advisory board and we'll work with them and if we decide that we want to add an expert in TNBC we may still do that as well.
Nick Abbott: Okay and then the final one I may just goes back to MARIO-3, are there any early looks for this data for futility?
Adelene Perkins: No. Not really. Given that we are going to be completing enrollment this year by the time we have data as it's always the timing will probably have completed enrollment by the time we have enough data to look at futility and we're not going to stop it for that. So we're really powering through. So there won't be an interim.
Nick Abbott: Okay. Fair enough. Thank you very much.
Adelene Perkins: Thanks Nick.
Operator: Thank you. At this time I'm showing no further questions. I'd like to turn the call back over to Adelene for closing remarks.
Adelene Perkins: Thank You Daniel. As you've heard today all of us at Infinity are very excited about our progress on the near term IPI-549 milestone that we stated on this call and in closing I'd like to briefly reiterate several key points that IPI-549 is a potentially transformative first in class agent with promising activity that enables innovative combination treatments. It is today the only pi3 kinase gamma inhibitor in clinical development and we have strong support for targeting MDSCs that underscore particularly our randomized phase 2 trial in MARIO-275.So we're excited about the potential of IPI-549 to make current immune oncology drugs better and with five ongoing studies look forward to providing updates with near-term out data readouts building on a strong financial position. So thanks particularly to our clinical investigators, patients, partners and the team at Infinity who have contributed to the development and progress of 549 and to all of our investors thank you for joining us and we look forward to keeping you appraised of our continued progress.
Operator: Ladies and gentlemen this concludes today's conference call. Thank you for participating you may now disconnect.